Operator: Good morning, ladies and gentlemen. Welcome to the BRF teleconference regarding the results of the third quarter 2022. This teleconference is being recorded and replay can be -- can have access in the site of the company. It is available for downloading at ir.brf-global.com. [Operator Instructions] Before we continue, I would like to reinforce that these information they have as the basics. The expectations, beliefs and assumptions of BRF and the information available to the company. Such statements do not correspond to historical facts, and they are based on currently available competitive financial and economic data, according to the circumstances that can occur, they can change. We have Mr. Miguel Gularte, CEO; and Fabio Mariano, CFO. I would like to give the floor to Mr. Miguel Gularte, who will start the presentation. Please, Mr. Miguel.
Miguel Gularte: Good morning. I would like to open this results teleconference. The first in BRF thanking all of you that are connected today. I'm very excited to be in the BRF team and be able to contribute to such a relevant company in the food industry. We have iconic brands in its categories, excellent portfolio of products and an appropriate infrastructure. I would like to give the floor to Fabio Mariano, who will present the results 2022, 3rd quarter, and I'll come back later.
Fabio Mariano: Good morning to all of you connected today. I will highlight the main financial results for the quarter. Starting with net revenues, we can see an evolution of 13% compared to the same period in the previous year. we have achieved more than BRL 14 billion. Right below I will present -- I present to your adjusted EBITDA, BRL 1.4 billion more or less billion, similar to the same quarter in 2021. And this is a margin in EBITDA of around 10%. The net income was a loss of BRL 137 million, half of what was reported in the same period in the previous year. Moving to the right, we have an operating cash flow above BRL 1.03 billion a little bit under previous year. However, we have a sequence being proven here from the beginning of 2022. So it is 40% above the previous quarter, even considering a very similar EBITDA. In the working capital, although we have some seasonal advancements in the festivity crops and the second crop. We have noticed a reduction in some of the main products. We have a reduction along the third trimester, the third quarter and we have also worked with our suppliers. Moving to the net leverage. We have reached 3.26x. The EBITDA of the last 12 months. still under the influence of a common performance in the first quarter, and this indicator was also impacted by the real depreciation. We are putting our effort to have the cash flow generation as an engine for our net income so that the leverage will go back to appropriate levels. Finally, I would like to highlight that our indebtedness days, we're still comfortable our period about 8 years. And in the next slide to the left, we have the growth profit evolution, we had around 18% and the gross profit around BRL 2.600 million. And to the right, we can see the adjusted EBITDA evolution, a performance that has been already highlighted. In the following slides, I would like to present the performance by business segments in the market. Starting in Brazil, we have a sequential evolution of EBITDA every quarter about 2022, but still below or lower than what our brands usually perform our products and all the infrastructure that we have. I'd like to highlight in the Brazilian market, some important evolution in the number of active customers that will allow us better competitiveness in the following quarters. We have also portfolio simplification and also the items sold. So to the customers, with an improvement in the market. We have a decrease in the low profitability SKUs, improvements in market share and brand visibility initiatives. We had a significant improvement in our service levels in the secondary logistics, we had, as I said, improvements in the market share and brand visibility, mainly in margarines, cold cuts and [indiscernible] products. And also, we have a fourth quarter with significant investments in media. I would like to highlight the investment in the world cup streaming. We have a lot of visibility for our brand. In the Halal segment. The chart to the left, we can see the EBITDA and margins back to historical levels as a result of more normalized offer in the region. We have the impact of the price peaks that we have tested in the previous quarter. Turkey is still a challenge. The macro and microeconomic scenario, we increase in exports and value-added products in order to maximize our results and protect also the operation from the Turkish lira influence. We have also the added value products, expanding its sales. We can see high levels in Halal here in market share when we assess the levels of the last years and months. And also, we have an increase of exports to the region. And I would like to close here with two highlights. First, the joint venture with PIF, an important movement with an ideal partner that will allow us through this alliance to develop the Arabic market and keep on consolidating our presence and leadership in the country. Also the JV investments cannot be different. They are being discussed jointly with the partners. And the business plan will be totally in compliance with the strategy to the region. Second, we have to do with the expansion of sales in added value products in the region also during the World Cup. This added value items is about 21% of our portfolio in direct exports. In the Chart 2, the left, we see the stability of the margins at a very high level. we have included a mix of products in the region, and we have expanded our performance in chicken export to Africa and other regions. To the right, we see the higher prices to the portfolio that serves the region, especially a very positive trend to pork. We believe that the sanitary issue. The avian influenza for United States and Europe, this can impact positively the prices in this segment. We are prepared to capture opportunities both in the price variables and other aspects. We also bring now the development in Asia. Here, we can see a better profitability performance. We have left the third quarter with this 12.5% in the EBITDA margin. We have reached 12.5% in the third quarter. We can see -- to the right, we have seen prices positively responding between quarters in the market as Japan, Korea and China, both for chicken and pork, the last one with a relevant recovery throughout 2022. We have gained participation in the chicken exports to China and pork exports to Singapore. I end the presentation of the business segments in the next slide with the development of ingredients and pet food. We had 21% of EBITDA margin, equivalent to BRL 143 million. We keep on capturing synergies and pet food, we have advanced also in the GTM plans, and we have expanded the portfolio to Gran Plus and BioFresh brands. In Ingredients, we have an expansion of market alternatives and first sales to Thailand. And we are putting our effort to maximize the integration of our business, and consequently, our profitability. In the quarter, we had some highlights in sustainability. We have -- can see in the next slide some conquers like the environmental seal by the Abu Dhabi Environment Agency, acknowledging our environmental practices in the Kizad plant. Also, we have been using satellite technology, tracking more than 95% of direct grain, and we are reaching our goal of 100% of traceability for grain suppliers in the Amazon and Cerrado biomes. We keep progressing our clean energy generation with the use of solar panels in many companies integrated produced [indiscernible] also recognized for the third consecutive year with the Gold sealed by the GHG Gold program. Now we will present the information related to the capital structure of the company. To the left, you can see the evolution of the net debt and net leverage. We had the indicators that have been presented already in the beginning of this presentation. I would like to call your attention to those that are connected to two aspects. First, this indexation of the gross debt, the strong currency, we have reached in dollars here, these figures. And this allowed us to change our indebtedness profile, eliminating the need to use intensively derivatives. We have this coverage of our exchange. And the second aspect is the amortization profile. We have amortization -- short-term amortizations combined with a high liquidity position equivalent to more than BRL 12 billion, when we consider the cash flow condition and the revolving credit lines that have already been negotiated or promised. In the next slide, we show the free cash flow. This chart will highlight BRL 1.3 billion, and this investment flow of BRL 1.6 Billion without finance activities. We have an operating cash flow[ BRL 355 million ] free cash flow or [ BRL 226 million ] free cash flow if we include derivatives and also the cash flow variation. The cash flow has been recovering sequentially every quarter, as we show in this chart, the smaller charts here in this slide. In the final slide, we can see the evolution of the net debt besides the consumption here that we had. We had a negative impact of the exchange rate. And if we consider both results combined, BRL 0.5 billion in the indicator. This was the variation. I thank you for the audience, and I'll give the floor to our CEO, Miguel to the final remarks.
Miguel Gularte: Thank you. I'd like to close this teleconference on results. Talking about my first impressions in more than 45 days in BRF. I found a company with professionals, very competent professionals in all levels, very well-developed indicators that will certainly allow us to take from the company, the performance that the market expects that it can deliver. We have an appropriate footprint. We have powerful brands, brands [indiscernible] 95% of the Brazil households, very consistent. They will allow us to build in 2023, a very appropriate performance to our excellent potential. The time lapse, we can already see clearly the improvements at our reach. We have the sense of emergency and consistency in execution using methodologies and indicators that are available, and together, we will build the performance that is expected. We need and we're going to advance in our energy efficiency. We're going to prove the index in mortality, profitability, both in slaughtery and [indiscernible]. And constantly, we will improve our factory index. We will improve our time worked without hampering or jeopardizing the costs. And certainly, this will bring to BRF, the performance and reliability that is expected. Our work together with the Board and the other levels of the company. We'll go through the fine-tuning of our performance and operational performance. We are building a solid benchmarks, and we should, as always, keep on investing in capacity building and training of our collaborators. This is basic and critical to this high labor business. The geographic location of our grains purchase they are very competitive aspects that should be enforced so that we can have a more balanced supply chain that is flexible and dynamic. We're going to improve our price system and inventory as well and flexibility to the domestic market and exports. So that in the perfect timing, we can have quickly a more agile and flexible company. We'll keep on diversifying our market, focusing on profitability, and we should not forget the improvement of our industrial park for the demands in the world. We have more than logistics. We are focusing the improvement of fleet, the improvement of the service level to customers. And we will work to better be facing and optimizing the energy costs. We will continue to improve services and commercial performance. We will, in the brands, continue to invest in communication, looking for innovations and a better profitability profile. Environment is critical, and we're going to be very strict working in the short and long term and not jeopardizing the future. We'll be reasonable and we will have our incentive models to faster the execution of our tasks and improve our performance. I would like to close the presentation with this conviction of more than 80 years of history, we have this latent performance culture that will be consolidated with the delivery of these results. Agility, pragmatism, focus and rationality, we are totally sure that it is possible that we are able to deliver and fulfill our commitment. I would like to thank you all and reinforce our commitment with more than 89,000 collaborators, our controller, our shareholders, our Board of Directors, customers and partners and everywhere, BRF is present. We will continue to evolve with the company so that it is more and more competitive in the world. Thank you. We will now start the Q&A for investors and analysts.
Operator: [Operator Instructions] Our first question comes from Gustavo Troyano.
Gustavo Troyano: I have two questions here, specifically for you, Miguel, focusing on your final message, focus on operational performance and productivity. I'd like to focus on this topic in an [indiscernible] to understand what's the main opportunity that you have managed to map so far in terms of operational improvement and maybe the main challenge, anything that you could advance in this topic would be great. And then the second question would be more related to market. Here, I'd like to hear your vision, the exports of corn from Brazil to China. And I'd like to ask if this could be a challenge in terms of grain exports in the short, medium term, and the level of current stock, if this is enough to off balance this situation with the corn.
Miguel Gularte: I will start by answering and then Fabio will speak about the grain scenario. We have started this effort at BRF, as said, 45 days ago more or less. And the first thing was to have a diagnosis and an action plan very carefully by using our leadership. So you don't run the risk of not getting where you want to get, which is way out there at the production. So we have united all the leadership, all the management, and then we worked in a very detailed way in all the aspects that plan goes through field base, people, industry. And to give you an example, we have a labor intense industry with over 98,000 employees. So in this kind of industry, you need to work on the main indicators. So we have to work on employers attendance not to have so much absenteeism from our employees. We need to work on conversion centers, both for pork and mortality or pork as well as poultry. If we go into the industry, you can't -- you have to look at the fixed cost, but we have to also work on productivity in terms of slaughtering or [ boning ] and so on. So this is a transformation industry. So you need a processing industry. So you need to -- when you have slaughtering activities, you have to follow the index. So when I talk about optimizing indices, it's very important to stress something that's important at BRF. If I were to compare this information at BRF, when you have a car, and you have a 3D panel. So with these precise indicators, the main challenge is to build an indicator that is reliable and applicable. And here at BRF, they're very precise, very accurate. So the information is accurate. So the information is accurate. So going into logistics, if we're working with the logistics area, to improve efficiency. I'm talking about the lead, I'm talking about rationalizing the network. So we're working specifically on logistics. If I work on planning, it's very important. We're working very hard on this. We have a pricing system that connects all the areas. So we have a company that needs to be agile to take the right decisions. So if you have a pricing system, you need to be assertive in your decisions, and you manage coordinating exports, domestic market segments as Halal. So you can add the important as, which is adapt, I can, [indiscernible] perform well, both domestically as well as for exports. So we have this program led by Marcello, Marketing VP, where we capitalize the advantage not only in Brazil, we have a very important event in the World Cup, but also in the Middle East and the other export markets that we have our brands, which perform really well. So finally, we need to capitalize on all the quality information, the diversity in geography, the competitive advantage and a high skilled team and transform this into results, that the company needs and the market is expecting it. We are very confident. The first 45 days has been a wealth of activities, we are very excited. We're working together, and I make it very clear that we have everything we need to make things happen. The company is ready and we're very focused on details to deliver these results and work on this plan and spreading this out all around the company. We're working with everybody in the company, and this is going to start to be visible in the expectation. Very important to mention that a lot of these improvements and plans are already part of our 23 budget. It's a very clear form of measuring everything you can measure, you can improve. And this is what we're working on. Now I just refer to Fabio to answer the second part of your question.
Fabio Mariano: Well, to specifically answer your comment about the increase of imports of corn from China we believe that this is not going to have an influence on prices because in relative terms, this is not going to place pressure on exports from Brazil compared to the general crop export in Brazil is close to 1/3 and data suggests. I think you probably had access to these -- to the data. So these numbers still relative linking to our projection for the crop in this. Then we're also talking about Soya Beans. So there is a great expectation in the Southern Hemisphere of an increase, both in terms of planted areas as well as in productivity, which is going to impact a 12% increase in Brazilian crop over 20% additional in Soya. Brazil should reach over 150 million tonnes in production, and that is record and we understand this. Our predictive models are suggesting this, and we have a declining cost in '23. It's important to talk about commodity aspect. We need are talking about grains, not just when it comes to pricing, we need to talk about quantity, consumption. A lot of what Miguel has presented as to our priorities have to do with mortality indicators. And [indiscernible], we are no longer wasting grain when we lose an animal when it talks about yield indicators, we see the example of waste and grain. When we talk about food conversion that's not adequate, we're also throwing grains away. So there's a lot of effort on gradually and consistently improving consumption indicators. So it's positive estimate as for the second part of your question in terms of stock. It's very common when we are at the other side of the second crop stocks move up. So there is a trend to lower prices compared to the average price of stock and this has been done. And today, stocks are strategic within a range, we believe it's adequate and still allow us. In case we see new opportunities, we can materialize them.
Operator: Our next question, [indiscernible] from Bank of America.
Unidentified Analyst: When we look at the cost issue, especially in this quarter, for the Halal business. I'd like to understand the costs, the stock issues and how this is going to play out in the future. And so for cost situation, looking into Brazil, you mentioned a number of initiatives. I'd like to understand, do you see this with the asset base, the company has today? Do you manage to deliver all of these improvements? Or is it important to have more investment so that you can actually deliver all the points that you have mentioned in this call?
Fabio Mariano: Your question has three parts. I am going to answer the first two, and then I'll give the floor to Miguel to answer the last bit. So Halal cost. In order of imprint, I'll give you three reasons to justify the increase you mentioned. The first bank that has to do with our Turkey operation. This is a domestic operation. And definitely has the Turkish lira influence, and we are looking at a hyperinflation economy today. So when we translate the in the balance, the consolidation currency, which is the Brazilian real, you have an impact of 40% on that increase you mentioned. The other issue has to do with the foreign exchange in the Gulf and the Middle East areas. We have our own distribution. So then we transfer stocks from Brazil to this distributions in the countries. So then we have to use dollars for stock. So when you have a exchange fluctuation, we have an increase in cost for the difference between parity stock and the stock after the product is sold. So that also has an impact of 40% of the increase. And the 20% left has to do with marine or vessel marine sea freight on all players that are working on export platforms, you will have then the rest of the 20% of the increase is an explained by this, as you mentioned. Now speaking about our stock, it's very important to detail that in Q3, it's natural that we are going to have finished product stocks especially for festivities because we're getting ready for the Christmas season. So during this period, because of the summer, when we can sell in natura products as well as cold cuts. So then we have a strategic stock we are going to have the sports event that's going to happen in our summer, and we see opportunities there. So that's why we have prepared for these festivities, these events, these consumption opportunities. So when we take away the seasonal effect, we have had stock reductions in other lines. For example, meat stocks inputs and biological inputs, raw materials. So for Q4, we are going to see a reduction and finished products because of season, which is natural, but because of the other items I have mentioned.
Miguel Gularte: So thank you so much for your question. Yes, we are very attentive to our investments and our capacity to deliver performance. Obviously, BRF has a historical CapEx that has supported our growth. So when you have a program, as we mentioned, that all segments, production, industrialization, logistics, then obviously, you are going to increase production and improve performance of the company to a certain extent by increasing efficiency and productivity, then you naturally reduce idleness in the company. So we have an organic growth capacity and with our qualification footprint, and CapEx in our factories is going to make us deliver our '23 program. It's important to stress in the last few days, we had a great piece of news. When it comes to important markets such as Mexico and China, that is going to lead to a much wider range of options we have celebrated a number of achievements, and we're also very attentive to what's going to happen in '23. So we have prepared our factories of factories that are prepared to respond to requirements of all different scenarios going to be able to do a number of things. You will be able to perform both domestically as well as in exports. And you will have the option to choose. So we're working really hard on this on a daily basis with a full team. So that naturally, 2023 is going to be marked by pragmatism and agility. Company has to be more agile in taking the right decisions -- it's very important to have the people, the facilities as well as information. So the scenario we are preparing for 2023 is to really capitalize on opportunities. we see a huge opportunities when it comes to pricing. Pricing is what's going to drive good decisions. We speak to all the management in terms of export Halal operations so we can take the right decisions. I understand that all the elements for a good decision to be taken are present, and we need to make good is, obviously, we cannot forget the details. We have to look at the short and medium term, but that doesn't mean that we are actually putting the future on hold to work efficiently is critical to work in a simplified way, and I apologize for repeating myself, we believe and a plan that is going to permeate the whole company. We are here to serve the business and not the other way around. And that is what we're working on.
Operator: [Operator Instructions] Lucas Ferreira, JPMorgan has the next question.
Lucas Ferreira: Two, topics. First of all, Miguel, I apologize for going back to your initial content and follow-ups on some of the questions that you already answered. I would like you to maybe have an exercise in your assessment, the operational improvement opportunities that you see at BRF. Are they opportunities medium to long term, meaning marginal? Or do you believe that there are -- let's say there are low-hanging routes that could actually be embraced in a short run in the next quarters or year, that is going to have an impact on the results of BRF. You spoke about some KPIs, food conversion use spoke about losses. So do you have the metrics to share with us numbers that are below the industry benchmark or below BRF history, so we have an idea where the company is in this sense. And the second question on -- about Brazil, the Brazil business. Speaking about the market, could you expand -- in addition to the seasonal issuance that we are expecting for the next quarter and including in this World Cup, do you see an improvement in competitiveness environment? What's the industry going to be there will be a possibility to increase margins. Can you speak about the business environment in Brazil, we're moving the festivities and seasonality that we know is going to help?
Miguel Gularte: Well, thank you so much Lucas, for your question. Well, let's go straight a point. Yes, very relevant, and they do have a major impact. But it's also important to say how you're building a plan. I am convinced that the first benchmark you need to look at is your own internal benchmark. You imagine BRF geographic diversity with the possibility of adopting best practices, you have a huge number of factories in different areas of the country. And in each area in the country, you can improve your best practice. You can copy pack dear. The best BRF is the best BRF that we have somewhere out there. So improving no matter where you are and then to implement this and make this happen. So that's why I always say, let's speak not just at the top level, let's go down to the factory floor. We have great examples in this sense. So in all the aspects as mentioned, people, operations, logistics, planning, sales, we have established very clear KPIs that are very relevant that have an impact on the business and that start impacting the business in the short and medium term. This is continuous improvement processes. And as the impact occur and we capitalize on the opportunities, we call this the opportunity map. We are working on this. And as they occur, we will share more information to you. We are at a phase in which a lot of the KPIs are beginning to kick in. They are being adopted and the practices are heating up and permeating the whole operation. And I'd say we're very excited because when you decide to take a program such as this one. The challenge is to get quality information. Our industry is extremely detailed whatever 100 grams here or there is going to make millions in difference. We slaughter 1.5 million chicken, pork. So the increase in 1% or 2% is huge, but there's no point being just on intent. You need to have a clear plan, diagnosis, correct information, and you have to have the discipline, so the detail is part of your routine. So this is, again, that you cannot be too concerned of -- you have to look at the ball, but we are doing that. Going back to the basic if I had to the sentence to give you an example, we're going back to basic doing things in a simple way. And I can guarantee that all the conditions they are present and they will make the difference again in the mid and short term.
Fabio Mariano: Lucas. Regarding the question on Brazil market, I would like to tell you that regardless of the variables that we control, the market variables and competition variables and competence as well, it's important to highlight evolutions that we have been promoting in the basics of the business. For example, trade execution, we are able to expand our customer base, the items sold to the clients, to the customers. The guarantee that our commercial policy will allow the adherence of prices in the sales point, price to the consumer. This will influence the purchase decision in the service levels. Also, we have increased drastically. All of that in this slow process and gradual process that we can capture significant achievements already. At the end of the day, this will impact our market share. Our last reading from news and we have had market share achievements in important categories such as margarines and also cold cuts and meat products they are very metric categories for the company. So this has to do with this commercial evolution. If you pay attention to the pricing data. This was possible, but we didn't have to adjust the pricing. You can see that the relative price in Brazil has grown still inside this context. There are other opportunities related to competitiveness. Besides what I have mentioned, the cost of feed and that is declining will favor the Brazilian geography and other markets as well. Since we have the production base concentrated in Brazil, I have to mention the projections for exports and production of pork products. This would be the basis of most of our process products. So it is indicated that we -- indicating that we will have more exports than production. And we can see an increment here. And this will help us on the availability of raw material in Brazil. This will impact prices and also we'll disincentive the import of processed products. When we have this economic scenario with a more deteriorated income, we have low-quality products and accessible prices, affordable prices, this will impact the market. We have mainly in our processed products that will take pork in its formulation. And this -- what will be the elevation of costs in Brazil and the elevation of the use of this protein.
Operator: Our next question is from Thiago Duarte, BTG Pactual.
Thiago Duarte: I would like to ask two questions. The first one, leading the Brazilian market discussion. And I'd like to hear from you a little bit on the perspectives about the margin going into the fourth quarter, your vision to the next year. When we look at first into this consistent recovery that the results are showing in Asia, and that came from very bad margins in some quarters. I'd like to hear from you the perspectives if this is a profitability level that you understand can be sustainable? Or can you even improve that if as it seems so. And in Halal segment, this is on a good figure, but it's still low. I'd like to listen to you to hear from you what do you think about the region, just leaving a little bit the Brazilian market discussion, how you will see the exports market, especially for chicken and the capacity of the company to maintain the margins, to digits, around 12% kind of low. So this would be the first question. Then the second question, I think that most people raise that here regarding the opportunities and efficiency gains. Miguel, we have been following BRF for a while, and we have heard about turnaround plans a few times. It's not rare, in fact, to see these plans pointing to many of the points that you have in a preliminary way due to the very short time that you have several points in common. I believe that they repeat themselves due to some level of difficulty to implement and to be able to capture the results. I would like to know or understand what is missing? And what do you understand that you could do differently regarding people, processes, someone has asked about the need to have more capital to do that so that we can, let's say, we can support and by your initiatives. Maybe it's too early, as I said, due to the very short time that you have had, but I think this would be a very interesting discussion.
Miguel Gularte: Since your question is recent, I'll start on the second question. Thank you. I believe that it's important to say that all the plans that we have been talking about, this is not something new. I have a track record here, 42 years of experience with this type of process and situation that I have faced. I'd rather not look back and have this backwards analysis, I would like to look forward and look at the scenario and what we have to do. It doesn't mean that we're going to ignore the programs that we have that existed. It's very important to build a new future. You must have the wisdom to analyze the past. So the past can bring something to the future, if you're able to analyze and learn from it. It's very important to realize that. I'm very modest when I say that, and I understand that all industrial processes and allow myself to reinforce this aspect for 15 years, I've been a factory unit person in several companies. So I always understand that the process starts in production in the manufacturing in the transformation phase. And I do believe that the major challenge is we have several challenges. But as you said in the preliminary analysis, this is an analysis that has this experience background that allows me to have a very clear vision. And the major challenge when we start a process such as this one, you have to build the correct indicators. And in this aspect, BRF has a major advantage because we have very high quality indicators. The temptation is not to build the indicator, but to know what indicator we have to look at and what indicator we have to prioritize. And then after this 42 years of experience of change in animal in protein and protein food, I think that we are working. We have a good team. The company has perfect conditions to deliver the results with very significant competitive advantages. And you have the product aspect. We have the brand, very strong brand aspect, and this makes things easier. And you cannot lose focus. The temptation is to attack everything at the same time. That's why we have a very segmented plan. We have separated what we have to do in the field, industry, logistics, commercial, a very clear example. You can have an excellent commercial performance. But if you don't have good logistics, will not perform. Otherwise, also, you not have a good car. So you may not -- you can sell, but you will not be able to deliver. So working together, the major challenge, I think, is to identify this potential correctly. I think we are in the right way to change that into reality and don't leave the plan on the top floor. We need to be able to permeate the plan throughout all the company operations included. And so we will be working with all vice presidents, all our leadership, things happen in the units, and we are able to do that. And also I believe that all the performance part of the plan goes through people and processes, people and processes, you need discipline to analyze to see the segment in the transformation and detail-focused industry. Any detail can mean loss as has been said a year before. And it can also mean gains. So you have to be focused on -- focusing on the details. We have a lot of work ahead of us building this market with quality information with this commitment to discipline. So the program starts in the field, not only in the industry, in the plants. We are focusing on that when I talk about mortality and we're talking about also the field. So the first time that my [ veterinary lipoma ] will be worthwhile. I have to use that in my daily routine. I think it's important. We have a whole technical team in BRF in the field. We have other technicians as well, food engineers and all and other professionals, they are extremely qualified and valuable. And we will be working and this is an intensive labor-intensive company, a lot of human capital involved. We have to work with that and focusing on detail with the KPIs. You cannot think that you have this silver bullet, but the pathways are well designed and very -- a lot of humbleness, I know that you're asking very pertinent questions and how each geographic location and the operational plan could bring us results. We are going to discuss that and we're going to go into more details timely. I'll give the floor to Fabio to answer the second part of your question.
Fabio Mariano: Regarding international markets that you have mentioned, I think that what is really important in exports platform is to look for ways to maximize your revenues. In this sense, you have to expand the alternatives in the market. So we have been working intensively to enable our production units to new markets in order to change it into a more flexible, agile company regarding decision-making that are focusing in the offer and different geographies and very dynamic. You have mentioned Asia, I can highlight here in the period, we had the pork being enabled to new fields in Singapore. We had also Toledo, the chicken protein to the Eurasia. We had also a chicken for China, [indiscernible]. So this is a work that will allow us to win other positions, and this will influence a lot either in preserving our margins and even thinking about expansion, if we look ahead to 2023, we also see a good time for the Turkey and pork protein. We see some offer restrictions due to sanitary issues in the United States and Europe. And there is an expectation already for a reduction of production in these areas and a trade flow that should be more intense in China. China is around 20% of imports for pork. So the company is well prepared to capitalize on all these opportunities. You have also mentioned Halal segment. We have a major opportunity now in the fourth quarter during the World Cup, since it will happen in the Gulf area, we will be able to move forward in our added value portfolio. More than 20% of the local sales, we already linked to that some incremental gains related to the brand and to the product processing. And this should become more intense in the fourth quarter. Also, we had the rehabilitation of the Kizad plant unit that is exporting process products to Saudi Arabia. So we are opening an additional front exporting process items. I would like to highlight, especially sausages and also the nuggets. Finally, in this region, we have to maximize the cut mix even in the whole chicken, what we call the different ranges like that will have the premium related to the heavier range. So we're working on that to optimize the business front that at the end of the day, will impact this increase in margins and the results in the international market.
Operator: Our last question is from Thiago Bortoluci from Goldman Sachs.
Thiago Bortoluci: This is Thiago Bortoluci, Goldman Sachs here. My question is related to price and competitiveness. First question, in what extent this Regal turnaround will change the company pricing policy. Second, BRF is rationalizing CapEx at this point, while its main competitor is expanding. How can this impact market share and BRF competitiveness from now on?
Fabio Mariano: Good morning, Thiago. I will start by answering the CapEx part of your question. I'd like to remind you that during 2021, specifically in the second half of '21 and along '22, we have executed a number of projects, especially growth projects that have to do with an increase of processed products offer. In 2023, the company is going to be able to enjoy the capacity as a result of these investments and that is going to bring the opportunity for growth with very marginal investments. That doesn't mean to say that the company is not going to take the business opportunities that may arise in the future, and that may require additional investment. It's very important to be highly disciplined as it has been rightly pointed out by Miguel in terms of capital allocation. It has to be very careful because today, the macroeconomics globally represent challenges in geopolitics, mature economy inflation and the expectation of even recession, we will be very careful, but we are not going to lose return opportunities and pay back opportunities to go unnoticed. So -- but we have systems -- enough system capacity that can really sustain relevant growth, which is the main portfolio in Brazil. And in this sense, I'm speaking about processed goods. As for weak points, in terms of performance, at this point in time, we don't want to put numbers. Miguel has been very clear in qualifying relevant opportunities, and these will happen gradually. He has said that there is no silver bullet. We have mentioned a number of indicators that will need improvement through time. The plan is there, the will is there, the engagement is there. And gradually, we are going to make this happen. In this context, we do offer. We will offer visibility as we progress. Q&A is finished, and our call is also wrapping up. We would like to thank you for your participation and wish you a great day.